Operator: Ladies and gentlemen welcome to the VistaPrint fiscal year 2009 second quarter Q&A earnings conference call. My name is Lemmanuel and I will be your operator for today. This call is being hosted by Robert Keane, President and CEO and Mike Giannetto, Executive Vice President and CFO. Before we take the first call, as noted in the Safe Harbor statement at the beginning of the earnings presentation, comments may include forward-looking statements, including statements regarding revenue and earnings guidance and actual results may differ materially. Risks that could impact those statements are described in documents that are periodically filed with the Securities and Exchange Commission. Now we’ll proceed to the first call.
[Mark Mahaney]: Great, thanks. Two quick questions please. Comment on the sustainability of what was very impressive gross margin expansion, so going forwards. And then secondly any new reads into the back half of the fiscal year? You had very significant upside to your revenue guidance this quarter. You did not seem to filter it into H2 guidance. Is that just being cautious or is there something that you saw just recently this quarter that makes you want to get even more cautious about the second half of the fiscal year? Thank you.
Robert Keane: Thank you, Mark. So why don’t you do that Mike.
Mike Giannetto: Mark, this is Mike. In terms of the gross margin performance for Q2 December quarter we were quite pleased with it at 63.5%. And just to answer your question by talking a little bit about the positive movement we saw in the quarter. You know FX did help gross margin a bit, but we also saw an increase in volumes during the quarter, which definitely helped gross margin as well as a shift in product mix. The holiday seasonal products performed quite well and the gross margins were very good and really a lot of leader (ph) efficiencies were realized during the quarter as well. In terms of how we see that progressing, although we don’t guide to gross margin, we are expecting it to decline in the second half of the year from what we saw in Q2. A lot of this will be volume related. As you can see from our revenue guidance we are expecting a sequential decline in the Q3 from Q2. So I think we will see a decline in the gross margin due to volume as well as a shift in product mix. I mentioned the favorable mix in the December quarter. We sold quite a bit in the seasonal products, which obviously will be decreasing to nearly nothing in Q3, so we won’t see that favorability.
Robert Keane: Your second part of the question, I think, talked about the ability to continue in the second half in terms of revenue. And the key issue we have is that we, of course, are very pleased with performance in Q2, but a lot of that revenue was driven by products which are explicitly tied to the end of the year holidays. As those go away we need to backfill with the small business products and services, which we certainly expect to grow very strongly for our guidance into the March quarter and into the June quarter. But given the macroeconomic and exchange rate environment we think that the range we’ve given is a realistic range.
[Mark Mahaney]: Thank you, Robert. Thank you, Mike.
Mike Giannetto: You’re welcome.
Operator: And our next question will come from the line of Jennifer Watson with Goldman Sachs. Please proceed.
Jennifer Watson – Goldman Sachs: Great, thank you. Can you talk a little bit about the strength that you saw internationally? It seems like the FX headwinds were about in line to maybe slightly worse than expected, but yet international really outperformed. So we saw an acceleration excluding the FX. Can you talk to what really drove the strength there?
Robert Keane: Sure. Our regional performances, of course, fluctuate over time and I agree with you our European economies and the currencies were weak as well as the economy that were week. That being said we had 65% constant currency growth rate outside of the United States when you don’t include the currency headwinds year-over-year. And clearly we had a lot of hard work and creativity on the part of many dedicated people in the team we’ve built up there over the last two years or so. But there is also just some seasonal differences that we see. We had a very strong holiday period and that was if you look at last year’s performance, holiday was also strong in Europe. So it was a combination of natural fluctuation of the business, some great results driven by the team we built up there, and then some natural sequentiality of the business that favors Europe in that quarter.
Jennifer Watson – Goldman Sachs: Okay, and then just one other question on the Cap Ex. It looks like that came in a little bit lighter than you had anticipated. Did you push back any investments or were you just more efficient with your spend than you had anticipated?
Mike Giannetto: Jen, it is Mike. We really didn’t push anything else specifically in quarter two. It really was more related to the timing of payments with the projects. One of the bigger projects we’ve been working on is the Windsor expansion. Some of the payments related to that had slipped into a current quarter. So it is really more of a timing issue and you’ll see some of it will now flow into our Q3.
Jennifer Watson – Goldman Sachs: Okay, and does currency have any impact on that?
Mike Giannetto: Not much. It hasn’t changed that much in terms of the Cap Ex from our expectations from three months ago.
Jennifer Watson – Goldman Sachs: Great, thank you.
Robert Keane: Your welcome.
Mike Giannetto: Your welcome.
Operator: And our next question will come from the line of Youssef Squali with Jeffries & Co. Please proceed.
[Novak] – Jeffries & Co.: Yes, thanks, hi. This is Novak (ph) calling for Youssef. My first question is on the sessions. The last quarter was pretty strong. Can you provide some color on the level of promotional activity in the quarter versus prior years?
Robert Keane: Well, it was a strong quarter. I will repeat our oft repeated statement that you can’t look at any individual metric between sessions, conversion rate and average order value in isolation. But session growth is approximately 16% year-over-year and the uptick was in line with seasonal patterns we’ve seen. So it was a good quarter, but I would once again reiterate you should look at it over a multiyear trend and it was in line with that multiyear trend. In terms of promotional activity the specifics behind your question, we didn’t make an exceptional effort in that area to drive such session count. It had more to do with natural fluctuations.
[Novak] – Jeffries & Co.: Got it. And then if I look at the average cost of acquiring an order, it was virtually flat sequentially and was down flat at the end of the year. Is it fair to presume that this is primarily due to lower average?
Mike Giannetto: It is Mike. If you look at our advertising expense divide by the new customers, that proxy for COCA (ph) is actually up sequentially. We did spend at higher levels in the December quarter versus September. It is down year-over-year compared to last December. We historically do see an uptick in the COCA in this quarter and we saw that once again this year.
[Novak] – Jeffries & Co.: Okay, I checked my math and actually can you breakout how much of last quarter’s revenues are consumer related versus small and micro businesses related?
Robert Keane: We don’t breakout the consumer per se. We talk about holiday, which has a consumer component as well as a small business holiday component. Even that we don’t breakout the exact amount but it was- Mike, do you have the approximate number?
Mike Giannetto: Yes, it is approximately 30% and we actually have a slide in our prepared deck which breaks out the consumer holiday from the small business. But it’s approximately 30%.
[Novak] – Jeffries & Co.: Great, thanks.
Robert Keane: Thank you.
Operator: And our next question will come from the line of Jim Friedland with Cowen and Company. Please proceed.
Jim Friedland – Cowen and Company: Hi, two questions. First, when you look at some of the vintages, you know you look at your customers in January of last year versus January of this year, have you noticed any changes in terms of their spending habits quarter to date? And then the second question is looking at referral revenues. The percentages of total revenues came down a lot. Are you at a point yet where the membership rewards is less than 50% of referral revenues? And if not, when do you think you cross that threshold? Thanks.
Robert Keane: Okay, Jim, we don’t disclose that percentage of referrals, which is membership. But we were very pleased by the very significant decline in percentages of revenues coming from referrals not because it is necessarily a good thing in of itself, but it really shows that is not what is driving the profitability of the business. But in terms of specific as to what percentage comes from one partner versus another, or one type of partner versus another, we don’t break that out. In terms of your first question, which is the vintage and year-over-year we can’t make any real comment. We have said that the long-term trend we’re looking at is to see the spend per customer go up into the right year-over-year. There are a lot of factors in there ranging from currency to vintage and mix of customer type and so on. But broadly speaking those long-term trends we still, that I actually spoke about in the New York Investors Day, hold true and held true.
Jim Friedland – Cowen and Company: Great, thanks.
Robert Keane: Thank you.
Operator: And our next question will come from the line of Franco Turrinelli with William Blair & Company. Please proceed.
Franco Turrinelli – William Blair & Company: Good afternoon. Can you hear me okay?
Robert Keane: Yes, good afternoon.
Mike Giannetto: Hey, Franco.
Franco Turrinelli – William Blair & Company: Hey, Mike. So I am kind of curious if you could help us drill a little bit more to what happened in the quarter. If I hear you right, Mike, basically what you’re saying is that the quarter panned out pretty much as you expected on the small business side. And so I am deducing from that that the positive bearance there has really come from the seasonal side of the business. First, is that an accurate assessment and if so, what do you think really kind of drove that?
Mike Giannetto: Franco, I think that is an accurate assessment. I think where we saw the overachievement was in the holiday and the seasonal products. Going into the quarter when we provided our guidance and outlook into the quarter, you know there was a lot of uncertainty around it with the kind of dire holiday forecast we were hearing about. There was a lot of uncertainty there. The fact is that customers, they responded to the value proposition in the content that we offered. And it did quite well. We mentioned in Europe it was quite a good seasonal quarter. So it certainly did better than we expected, but I think that speaks to the value proposition and the expanded content and offers that we’ve brought to market.
Robert Keane: Can I add on? The part where Mike’s saying is that we are very much the low cost producer in our minds, we believe we are. And our value proposition includes saving our customers a lot of money. And we believe that in tough economic times we’re in the right place to be by being the low price, low cost player in the market. And so in retrospect in the holiday products these have certainly played out.
Franco Turrinelli – William Blair & Company: So when you provided your guidance when you spoke at the Investor Day in New York basically what you were saying the quarter’s metrics weren’t building, I think is the term that you used, in the way that you sort of expected them to. Now I’m sort of supposing that the seasonal spend, though, was somewhat excluded from that because of the unpredictability of that seasonal spend.
Robert Keane: I think if you look at the earnings guidance we gave three months ago in the Q1 earnings call, that was before this huge spike in holiday revenue. So although we reported as a quarter, of course, it is something which is very tightly packed plus or minus around the American Thanksgiving holiday. And so there was that end of November into early December we didn’t have that visibility as to how high that spike would go. And as Mike alluded to outside of this there were extremely dire warnings about the state of consumer spending in the quarter that we wanted to be prudent about. By the time we got to the New York Earnings Investor Day we were not through the huge surge but we were over the peak and we could certainly say with confidence that the quarter was progressing very positively relative to the guidance we had given in the Q1 earnings call. So it was two different sides of that peak. That is why we were able to say we were very happy and trending positively relative to our guidance.
Franco Turrinelli – William Blair & Company: Great, thank you guys. I’ll get back in line. I have a couple of follow-ups.
Robert Keane: Okay, thank you.
Operator: And our next question will come from the line of Scott Devitt with Stifel Nicolaus. Please proceed.
Scott Devitt – Stifel Nicolaus: Yes, hi, thanks. Just one question, please. The international business, if you go back to last year, on an organic basis there was a significant percentage increase in growth and that happened again this year on a calendar basis. I was wondering if you could just talk about the maturity of the consumer business internationally where that stands relative to the U.S. and if that is ultimately the driver of the 4Q acceleration the past two years. Thanks.
Robert Keane: Sure. I think in response and Jen’s question I talked a little bit about the fact that there is definitely some. One of the factors was some seasonality that we’ve seen in past years in Europe. And this certainly was one of them. I think that the European business is much less mature for us than the North American business. But many of our metrics do fluctuate. We’re very happy with the growth in the U.S. I don’t want to give the impression we weren’t very happy given the economic conditions. But non U.S. revenue’s are generally rising, but there is some seasonality and generally follow a saw tooth pattern and the movement in any one quarter is pretty hard to pin down. But it does appear that we had a solid holiday and solid overall traction in Europe, both of which drove this non U.S. revenue. The answer of your question was really the maturity of the business and again I think it’s relatively immature compared to the North American market.
Scott Devitt – Stifel Nicolaus: Got it. Thank you.
Robert Keane: Thank you.
Operator: And our next question will come from the line of Mark May with Needham. Please proceed.
Mark May – Needham & Company: Thanks. I had two questions. Based on the holiday sales that kind of were roughly 30%. I believe in the past year ago you mentioned around 20%. So that would roughly mean about a doubling in revenue for that segment, which is great. It would also mean that about mid-teens year-over-year growth for what I would call your core SOHO business. Is that about right and is that kind of the thinking that you had for the rest of the year? And then I had one other follow-up question.
Mike Giannetto: Mark, it’s Mike. On the holiday consumer percentage this year it’s approximately 30%. Last year it was over 20%, it was over 25% of the business. So the growth you’re referring to it’s not as significant as you may have thought.
Robert Keane: On slide 27 of the prepared remarks, we break out not the exact percentages, but visually you can see the combination of how they and the consumer business in the green and you can get a sense of the growth in proportion.
Mark May – Needham & Company: Okay. So that would put your SoHo business growth in the second quarter more like call it 25% or something year-over-year, ballpark. And my second question is, I don't remember the history of your CapEx guidance, but for the fiscal '09 guidance, it is a little higher than what I was forecasting and just back-of-the-envelope, so I'm not sure accurate these numbers are, but I'm getting a free cash flow projection for fiscal '09 that is not much different than what it was in fiscal '08 despite the pretty significant revenue growth that you'll likely have in fiscal '09. What is causing that? And in your model looking out for the company, kind of what you think the business can generate? That gets you at around mid single digit free cash flow margin, do you think that that is kind of where the business is in a couple of years or what kind of free cash flow margin do you think the business can achieve in a couple years' time?
Mike Giannetto: Mark, it's Mike. So just in terms of just stepping back in terms of the fiscal '09 CapEx guidance, we're top end, our range right now is 77, 87. When we originally gave guidance back in July, we were over 90 million, so we're keeping the top end of the guidance the same as where we were in October, so it's about $87 million. We don't provide guidance for free cash flow. I would say this, we expect it to be greater than last year, last fiscal '08, so we do expect it to be growing. In terms of a longer view of free cash flow and CapEx leverage and as we've talked about quite a bit in the last six to nine months, we are very much still investing in growth in the business. Most of our CapEx is growth related. So in terms of in a few years or as the business matures, we would expect as growth slows, that the CapEx investment would slow as well. So we would start to see more leverage in the capital expenditures and thereby throwing off more free cash flow. Where we are as a business right now, we're not necessarily looking for that kind of leverage because we're still investing in growth in the business. So in just a couple of particulars in the CapEx this year, we've noted that there's a couple of large projects that are facility expansion related, one is Windsor which I mentioned earlier which we're just about complete with, we'll be done with that this quarter. And we're also working on the Montego Bay service center, so there's a couple of lumpy facility expansions in this as well, but in terms of free cash flow (inaudible), I'd say that's how we've talked about it in terms of when growth slows, we would expect to see more leverage there. At this point, most of the CapEx we're looking at is growth related and not maintenance related.
Robert Keane: Go ahead.
Mark May – Needham & Company: Your model has the company doing over 25 million in free cash in fiscal '09.
Mike Giannetto: Yes, we haven't provided that, but what I did say is we expect it to be greater than the fiscal '08 free cash flow.
Mark May – Needham & Company: Greater, yes. Okay. Great. That's helpful. Thanks.
Mike Giannetto: Okay.
Robert Keane: I just had one follow up to that last question. I think that as Mike said separating out the free cash flow into constituent parts, the cash from operations and the investments we made is very important and it was an excellent quarter in terms of cash from operations. We generated $44 million in cash from operations which is about 30, 32% of revenues. Now it was an exceptionally good quarter for a number of different reasons, although that level is not something we expect to sustain, it shows the cash from operations. Then there's a question of how much do we invest in CapEx for future growth which is an investment decision, but they of course add up to the free cash flow, but they are two different numbers that we look at very differently.
Operator: And our next question will come from the line of Scott Berg with ThinkPanmure. Please proceed.
Scott Berg – ThinkPanmure: Hi, guys. Congratulations on what appears to be a very, very good quarter.
Robert Keane: Thanks.
Mike Giannetto: Thanks.
Scott Berg – ThinkPanmure: I've got two questions, they're both around kind of your cash operating expenses for the quarter. One, I can see that they came down as a percentage of revenues as a whole which is kind of in line with what you guys have said to control costs, but with the level that you had in Q2, would it be fair to assume that that kind of similar level as a percent of revenue should hold true through the remainder of the year, first question. I'll let you answer that before I ask my follow-up.
Mike Giannetto: Okay. Scott, I thought you faded out a little, but I think I got what you were asking. In terms of the operating expenses as a percentage of revenue, yes, there was significant leverage in Q2 compared to Q1 in year-over-year. We would expect that percentage to increase in the second half of the year. As you look at the guidance we've provided in terms of EPS, there's certainly an implied net margin in that and we would expect to see the net margin decrease. Some of that will be due to increase in operating expenses. As we talked about in October, we have reset our annual plan that we had started with in July. We reset it in October and curtailed quite a bit of investments, hiring, etc. In the second half of the year though, we had planned in October and we still plan to make some investments whether that would be in hiring or otherwise. So we would expect to see that percentage increase.
Scott Berg – ThinkPanmure: Okay, that's fair. And then my second question on that during your prepared remarks, you talked about if I'm quoting it properly slowing investment ramp, does that mean that you're going to slow the pace of some of the additional products that you're going to introduce to the market or is that related to maybe another component in there that I'm not seeing?
Mike Giannetto: Yes, so in terms of product rollouts, no, we're purposely not delaying product rollouts and we're maintaining our robust schedule of rolling out new products. They're products we know customers want and we want to bring them to market and obviously it's a source of revenue and margin. So we're not slowing that down at all. What we have talked about which I was referring to a couple of minutes ago is we've definitely slowed the level of investment as compared to our original plan for fiscal '09 that we rolled out in July. Once we did our revenue reset in October, we also reset our investments and we slowed a number of investments across the board, a big part of that was slowing hiring targets for the year. But in terms of where we sit in January versus October, our investment plans are very similar to what they looked like in October. The big change is compared to where we were in July.
Scott Berg – ThinkPanmure: Okay. Very good, that's all I have for now. Thank you.
Robert Keane: Thank you.
Operator: And our next question will come from the line of Mitch Bartlett with Craig-Hallum. Please proceed.
Mitch Bartlett – Craig-Hallum: Hi. I hope you can help me maybe just directionally on the average order value and the impact that all the different things that's going on, the currencies, holiday, percentage, then the product rollouts over the last (inaudible), all those are having an effect on average order value, maybe you can help that out. And the second question would just be what happens (inaudible) to that repeat order, is the average order value, is that a smaller order or is it just the frequency of the repeat is just less?
Robert Keane: Go ahead.
Mike Giannetto: In terms of AOV, there's obviously a lot of variables that come through in the AOV just to give you some perspective on it. This quarter it was $33.57, flattish sequentially with Q1 and down as compared to a year ago, the December quarter. What we have historically seen is the average order value increase in the December quarter for the company as we see the shift to more the consumer and holiday products. In terms of the year-over-year comparisons, FX did have a negative impact on that number as the dollar strengthened considerably across the board against the euro and the pound and the Australian dollar, so if you held currency constant, it actually would have increased year-over-year given the magnitude of the currency movements. So that I think you would've seen the kind of historical trend, the seasonal trend that we have seen, but that was dampened by the FX movement that we saw year-over-year. In terms of other products coming into play, you're right, as we roll out new products, there's some lower-priced products and some higher. One particular one which we talked about a little bit is our website offering where it's a monthly billing that we priced anywhere from $6 to $15 so you have a lower average order value that's coming through in a billing every single month. So as that business grows that could dampen the AOV. I wouldn't say it's a material impact right now, but just to give you a feel for one particular product that it does impact AOV and it could bring it down. It's not necessarily a negative thing. It's a monthly billing to host a website.
Robert Keane: By way of example, another example is we have always said that we have lower order values for first-time customers than repeat customers and we had a very strong acquisition quarter, so that will also shift the mix. So I think the take-away is that there are many different factors which come into that single line which happens to really just looking at it from a multi-year perspective and Slide 36 in our prepared remarks certainly shows that. Overall, that multi-year trend shows a slight growth up into the right in AOV, but nothing dramatic and I think that's something we'll see in the future. Your second question, could you repeat, I'm sorry.
Mitch Bartlett – Craig-Hallum: The impact of the recession on how a repeat customer behaves, the—
Robert Keane: Yes, we don't— yes, I'm sorry, go ahead.
Mitch Bartlett – Craig-Hallum: Yes, go ahead.
Robert Keane: We don't have specifics that we can talk about, but we do believe that when we talk to our customers, that what we believe our customers will be impacted by the recession. That being said, we do not have precise data that we can really point to and say this is going to have the following impact. A small business could have a negative impact of a recession and what we hope will happen is that we will have built up loyalty and credibility with our customer as a very viable do-it-yourself low-cost alternative which actually could help us. So that is our hope, but it is fair to assume that we need to wait and see what happens over the next two quarters before we can really say what will happen.
Mitch Bartlett – Craig-Hallum: And maybe just one follow-up is did you aim your pre-holiday advertising at a holiday customer, a consumer-oriented customer more this year than perhaps last year?
Robert Keane: Almost all of our advertising is very mass market approach and then we segment when we get the customers in the door. Again, holiday is not exclusively consumer. A lot of the small businesses give away promotional products like calendars or they send holiday cards in themselves (ph), so holiday is not synonymous with consumer. There is certainly a consumer aspect to that. A family might send Christmas cards or the like, but in our advertising there is no material shift towards (inaudible) consumer segment.
Mitch Bartlett – Craig-Hallum: Thanks very much.
Operator: And our next question will come from the line of Michael Weisberg with ING. Please proceed.
Michael Weisberg – ING: Yes, good afternoon. Great job, guys. Two questions, first, I presume your forecast for the second half assumes currency rates unchanged for the rest of the year relative to where they are now.
Mike Giannetto: That is correct, Michael, pretty much, and we cut off our guidance last week, but yes, we're not forecasting fluctuations in the rates.
Michael Weisberg – ING: Okay. Maybe you could help us out given your assumption, assuming that rates are flat from where they were last week, how much of a headwind would that be in revenues in your overall business, your international business in the second half of this year? Maybe you can do it in revenues or growth rate or actually revenues will be the best, could you give us a sense of what the negative impact on revenues would be from that?
Mike Giannetto: Well, the way we've done our forecast, Michael, in our guidance we're basically assuming that what the rates were faced with right now are going to continue throughout the rest of the year. So within our range we trying to account for some fluctuation there, but we're factoring that already into guidance and the forecast.
Robert Keane: Over two-thirds of our revenues or approximately two-thirds in the U.S., but the remainder isn't and just a simple math, but a third of our revenues outside, the basket of all currencies we do (ph) moves exactly 10%, that would be a 3.3% up or down depending on which way that 10% moved.
Michael Weisberg – ING: Okay. I was just hoping since I'm sure you did the calculation in doing your forecast which you're sharing with us, could you tell us sort of how much in dollar terms the stronger dollar will hurt you in the second half in terms of rates? Is it possible to get that number?
Robert Keane: Versus the prior year?
Michael Weisberg – ING: Yes.
Mike Giannetto: Well, just to give you an idea, Michael, I'll use Q2 as an example. When you look over year-over-year, it was about a $9 million reduction when you look at the December quarter rates versus a year ago, December, it was about a $9 million reduction because of the strengthening of the U.S. dollar just to give you kind of an order of magnitude, the impact on the business. And I'd say in Q3 the way the rates are looking now, that could be even higher because in some cases, I know with the British pound, the pound has continued to weaken even below the average Q2 rate, so it could be even more significant.
Michael Weisberg – ING: Okay. So the currency headwind that's embedded in your forecast could be a little stronger third and fourth quarter than it was second quarter?
Mike Giannetto: Relative to a year ago—
Michael Weisberg – ING: I meant on the year-to-year basis.
Mike Giannetto: Possibly. In terms of where the rates have moved Michael from our October guidance, they haven't moved dramatically when you look at overall. I mean the euro has moved a bit, the pound has continued to weaken. So when you look at imbalance, the basket of currencies which are meaningful to us, the rates have not changed dramatically from where we stood in October.
Michael Weisberg – ING: Okay, great. One other quick thing, you indicated your small business was basically in line in the December quarter with where you thought it would be when you revised your guidance after the first quarter. Is that trend continuing so far in the third quarter? Have you seen any weakening in trends or is it running in a similar pattern to what you experienced in the December quarter so far in January?
Mike Giannetto: Like I said, it's pretty early in the quarter. What we've seen to date in the quarter we've considered in our guidance. It's one more input we have, so we have about three weeks in, so I won’t give specific color on what we've seen through three weeks, but I would say that we certainly have considered it in our guidance along with many other inputs.
Michael Weisberg – ING: Good job. Thanks a lot.
Robert Keane: Thank you.
Mike Giannetto: Okay. Thanks.
Operator: And our next question is a follow-up question from Mark May, Needham. Please proceed.
Mark May – Needham & Company: Thanks. I just had a quick clarification on the holiday or consumer business which was up by again calculated about 50% year-over-year which is not consistent with what one would think consumer spending is like in this environment, so I assume that it's something more that you guys were doing rather than the market at large. I mean If that's true, can you talk about some of the things that you guys did in the quarter that would have caused the kind of growth that you saw.
Robert Keane: I think it goes back to the comment I made before that we do believe that we are very well positioned as the low-cost producer and the low-priced supplier in the market. And in tough economic times, I think people look for economic alternatives and that VistaPrint position has always been that. So relative to the overall set of companies that sell things to consumers, I think that we're in a good position. We are outgrowing our market. We're taking market share we believe (ph) rapidly, but I think it just is a testament to the strength of the value proposition. I think it was the first question, Mike, you used that term in response to that's driving our growth and— no, go ahead
Mark May – Needham & Company: Did you change pricing in the quarter versus what it was a year ago? Did you have a new and different product offering? Did you step in the marketing pedal more this year?
Mike Giannetto: We introduced in terms of new products we did introduce the poster calendars which is a new incremental product from last year, but in terms of pricing, as we've said we test the pricing quite a bit. There's no dramatic pricing changes that we made. In terms of stepping on the marketing pedal, you can see sequentially we did spend more on advertising as a percentage of revenues, but at a similar clip as to what we did a year ago in this quarter. So I don't think there's anything specific other than what we have seen is that the price point and the content, customers obviously found it very attractive and managed to fit it into their holiday budgets.
Mark May – Needham & Company: Thanks for the clarifications.
Robert Keane: Thank you.
Operator: And our next question is a follow-up question from Franco Turrinelli with William & Blair Company. Please proceed.
Franco Turrinelli – William & Blair Company: Thank you. Mike, one question on the really remarkable number of new customer additions, I'm assuming we should think about being related to the strength in the seasonal product volume.
Mike Giannetto: Yes, I mean we don't break out consumer versus the small business, but as we said our overachievement was in the holiday seasonal space and I think that's a reasonable assumption that a lot of the new customer success was definitely related to the holiday offering.
Franco Turrinelli – William Blair & Company, LLC: So thinking back to last year, how should we think of your ability in a sense, maybe it's just putting it too strongly, but to monetize those customer additions in the following quarters. I mean as you point out seasonal products are not just consumer, they're business related as well. Anything particular that we should think of in terms of your ability to hold on to those business customers and get them to spend on basics as we kind of move through '09?
Robert Keane: Well, I think if you go back to the holiday period a year ago in our fiscal year '08, if you were to (inaudible) the transcript there, we had a phenomenal overachievement in that quarter as well and it was actually a very strong quarter and we certainly track very carefully what happens to customers after they come in, in any given quarter, but including the holiday quarters and we believe that those customers are very good customers who are not limited to the holiday time period. We were happy with the ones we acquired a year ago and we have that vision. So I would say without talking about specifics, we see this as valuable customers that we look forward to selling other products and services over the coming 12 months or the next 48 and longer months and not just once a year.
Franco Turrinelli – William Blair & Company, LLC: Yes, but do you feel that your product portfolio puts you in a better position to do that this year than last year, do you think?
Robert Keane: Yes, I think that statement which is probably been true for several years in a row. About two years ago, we really cranked up the cadence of new product introductions. And Mike mentioned the most recent one, the poster calendars, but that's one in a succession of many new products and services. And we've often talked about being able to broaden what we offer to customers well beyond print into all things marketing for small business and I think that each year that's gone by we're more able to fulfill that promise.
Franco Turrinelli – William & Blair Company: Yes, good. Thanks, guys.
Robert Keane: Thank you.
Operator: And at this time I show no more questions in queue. I'd like to turn the call back over to Robert Keane, President and CEO for closing remarks.
Robert Keane: Thank you. In closing I'd like to thank everyone on the call for your interest in VistaPrint. We look very much forward to meeting with each of you over the coming months on the road or elsewhere and continuing on our own strong execution record. I would like to most of all thank the employees of VistaPrint who have helped deliver this quarter and their talent and efforts were really fundamental in delivering these results. So thank you for everyone who listened into the call tonight and have a great evening.
Operator: And thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.